Operator: Hello and welcome to the CNH Industrial Second Quarter Call. My name is Judy, and I will be the coordinator for today’s event. Please note that this call is being recorded. For duration of the call, your lines will be in listen-only. However, you will have the opportunity to ask questions at the end of the call. [Operator Instructions]. I will now hand you over to your host, Noah Weiss to being today’s conference, Head of Investor Relations. Thank you.
Noah Weiss: Thank you, Judy. Good morning and good afternoon to everyone. We would like to welcome you to the webcast and conference call for CNH Industrial's second quarter results for the period ending June 30, 2022. This call is being broadcast live on our website and is copyrighted by CNH Industrial. Any other use, recording or transmission of any portion of this broadcast without the express written consent of CNH Industrial is strictly prohibited. Hosting today's call are CNH Industrial CEO, Scott Wine; and CFO, Oddone Incisa. They will use the material available for download from the CNH Industrial website. Please note that any forward-looking statements we might be making during today's call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included in the presentation material. Additional information pertaining to factors that could cause actual results to differ materially is contained in the company's most recent Report 20-F and EU Annual report as well as other periodic reports and filings with the U.S. Securities and Exchange Commission and equivalent authorities in the Netherlands and Italy. The company presentation may include certain non-GAAP financial measures. Additional information, including reconciliations to the most directly comparable U.S. GAAP financial measures is included in the presentation material. I will now turn the call over to Scott.
Scott Wine: Thank you, Noah, and welcome to everyone joining our call. We finished the first half of 2022 with record second quarter revenues of 17.5% year-over-year in spite of 3% currency headwind. I am proud of the team's resolute performance in the face of the dynamic and challenging global economic and geopolitical environment. Their efforts exemplify our commitment to meeting our agriculture and construction customers needs as their customers depend on us to feed and house an ever-growing population. Our solid performance and even our optimistic near-term outlook contrast with extremely precarious macro environment and a steady stream of recessionary signals. Whether we face a global recession in 2023 is up for debate, but we are preparing for this eventuality. It is worth noting however, that historically we are more impacted by the Ag cycle than recessions. Soft commodities were down notably in the second quarter, but it rebounded of late and remain at or above historic levels. Dealer sentiment and orders also remain positive. We generated an impressive double-digit industrial activities margin of almost 12%. Raw material, labor, and freight cost escalations are sadly familiar to us. But we are finally starting to see signs of their impact diminishing. During the second quarter, farmers sentiment deteriorated as increased pressure on the cost and availability of fertilizer and other inputs met an easing of soft commodity prices. The Ag cycle nonetheless still appears to have legs as our order backlog for new equipment continues to grow. We remain compelled to restrict order windows in order to consider future cost and availability issues. Supply chain constraints, while modestly improving are a complex variable in our forecasting process, and they continue to hamper our production capacity in the second quarter. This elevated factory inventory was the primary driver of our $380 million year-over-year decrease in free cash flow. Thanks to our otherwise strong operating performance we did generate more than $400 million in cash in the quarter and are confident, we will deliver our full year cash target by reducing plant inventory in the second half. Part of the solid progress we are making with the Raven integration involves completing the divestiture of their non-core divisions, including the sale of Aerostar business, which we closed this week. The teams in Sioux Falls and Scottsdale are now completely dedicated to solving great challenges for our farming customers by coupling great technology with our great iron. Momentum remains strong entering the back half of the year, allowing us to reconfirm guidance while tightening up the bottom of the net sales range. Net sales for agriculture business were up 22% year-over-year on a constant currency basis, as we sold a better mix of products at higher prices, particularly in North and South America. For the quarter, Derek Nielsen and his ag team drove pricing up 13%, again, more than offsetting rising costs, and we expect this dynamic to continue through the back half of the year. Our plants finished the quarter with far too many tractors and combines waiting for components. Reducing this fleet inventory in the second half, will enable us to better serve our customers and improve our cash position. Dealer inventories of new equipment remain very lean, especially in North America for row crop machinery and in Europe, where supply constraints are most critical. While overall ag demand remains strong, especially with high horsepower tractors, we did begin to see diminishing demand in the hand forged sector. Low horsepower tractor demand is also starting to deteriorate after several strong years as the small hobby farmers who comprise the segment are beginning to plan for a tougher economic environment. Our overall tractor order book was up 5% year-over-year, driven by strong growth in EMEA and Asia Pacific and combined backlogs very healthy as well. We waited until the beginning of June to open orders so that we could secure the best pairing of cost and price. We also limited the window for orders only into the first quarter of '23 for North America, and even shorter for Brazil as inflation and cost volatility are complicating projections of future machinery pricing. Stefano Pampalone and his construction team continued to execute their impressive turnaround of our construction business. We closed the quarter with net sales at 891 million up 12% on a constant currency basis, mainly driven by pricing volumes in South America and the addition of Sampierana in our business. Adjusted EBIT in the quarter was 34 million at a 3.8% margin, a continuous quarter-over-quarter improvement in line with the trajectory we outlined at our capital markets day. The Sampierana acquisition is delivering ahead of plan and is playing a pivotal role in accelerating profitable growth in Europe, where we saw market share gains in all major product categories aside from large excavators. We are currently integrating with dealer networks and will be increasing Sampierana’s manufacturing capacity to better support the light-end of our excavator range. Order books continued to build up more than 20% year-over-year in both heavy and light with increases in all regions excluding heavy equipment in APAC. In North America our 2022 production slides are essentially sold out. On Tuesday, August 2, we will be breaking new ground with the launch of the revolutionary new product that will create its own category within the construction market. All I'm allowed to say for now is that this unique machine combines ripping, dozing and loading functionality and we're very excited to deliver it to our customers. While we continue to make substantive progress across all of our five strategic priorities, today, I want to highlight some notable advancements in brand and dealer strength. Scott Harris and Carlo Lambro, global brand leaders for Case IH and New Holland respectively, are developing joint product and go-to-market plans which are engendering cooperation and coordination between the two brands. This work is inspired by dealers and employees and also investors, and it is rewarding to see it coming to fruition. Early efforts include complementary product, network and programming decisions all designed to strengthen our dealer network and enhance customer support and experience across the company. We are leveraging our broad knowledge base and channel partnerships to improve areas such as service standards, warranty procedures, and performance expectations. The truly meaningful change here is effective cooperation, which is positioning our network our brands and ultimately our company to win. Our net promoter score, which has increased over 3% in the first six months of 2022 attest to our progress. All of this is forging a clear path to profitable growth while simultaneously improving dealer engagement and ultimately customer satisfaction. These same benefits accrue from tight machineries recently announced acquisition of Heartland Ag Systems. Heartland is the largest Case IH application equipment distributorship in North America and with customer inspired innovation accelerating across our sprayer portfolio, this transaction should unlock value for all stakeholders. We made a related acquisition with the acquisition of specialty enterprises North America's largest premium aluminum spray boom manufacturer. Specialty is known for its advanced engineering and high-quality workmanship as a world-class aluminum welding operation. The direct ownership of spray broom production is the latest step in Case IH’s strategic roadmap for industry leading sprayer production platform. As the company works to enhance its application product offering the inclusion of longer lighter booms enables the accelerated development and deployment of new technologies. I will now turn the call over to Oddone to take us through some of the key financial results.
Oddone Incisa: Thank you, Scott. And good morning, good afternoon to everyone in the call. Second quarter net sales of industrial activities of 5.6 billion were up 17.5% year-over-year despite FX headwinds of around 3%. Pricing was the main driver for our growth, the top-line as volume and mix accounted for around 5%. Adjusted gross profit of $1.2 billion was at 174 million year-over-year as pricing once again helps promote even increasing production cost. With margin of 22%, all these slightly down in the quarter versus 2021 were at par with last year for the first half of 22.1%. Adjusted EBIT of 654 million up 82 million from Q2 2021 with a corresponding EBIT margin of 11.7%, some 30 basis points versus record second quarter last year. Free cash flow from industry activities was $404 million and industrial activities net debt ended at 1.6 billion, an increase of 438 million from December 31, 2021, largely due to working capital absorption in the first half of the year. Adjusted net income for the quarter was 583 million with adjusted diluted earnings per share of $0.43, up $0.06 on the back of the better operating performance. At the end of June 2022, our available liquidity stood at 8.8 billion, down 1.7 billion from December 31, 2021. As we grew our financing portfolios and the Euro dollar exchange played negatively on credit lines terminated in euros. On Slide eight, we have the details of industrial activities adjusted EBIT performance in both segments, we see the volume and mix were positive while the higher pricing again this quarter was able to offset the remarkable increase in production costs. SG&A volume reflects increased activity levels and the cost carried by the newly acquired businesses. R&D expenses increased as we are investing more in our precision AG portfolio. Agriculture’s adjusted EBIT increased by $81 million, with a margin of 14% driven by favorable mix on particularly from the Americas partially offset by higher production cost and grow in R&D expenses. Gross profit was up $150 million from the same quarter last year with adjusted gross margin of 23.4%. Construction equipment EBIT was $34 million, with a margin of 3.8% up 80 basis points versus last year, thanks to favorable volume and mix and positive price realization only partially offset by the higher production cost. Gross margin stood at 13.8% up 140 basis points despite increased costs in the quarter. For our financial service businesses, net income was 95 million up $10 million compared to the second quarter last year mainly as results of higher recoveries on U.S. equipment sales and higher average portfolio in all regions. These were partially offset by income taxes and higher risk cost reflecting the growth of the credit portfolio. For the quarter, retail originations were 2.4 billion and the managed portfolio including JVs, at the end of the period was $21.1 billion up 1.7 billion at a constant currency basis. Delinquencies were flat year-over-year at 1.5% and remain a historically low level. Next to Slide 10. We have the free cash flow net financial position performance for our industrial activities. Free cash flow of industry activities was 404 million on the back of the strong operating performance. Working capital build up is mainly due to inventory growth in our plants were at the end of June, we continue having elevated levels of components and semi-finished goods as our production is constrained by choppy supply chain. Total gross debt was 20.8 billion at June 30 and industrial activities net debt position was 1.6 billion. Moving to our capital allocation priorities, we continue spending in CapEx and R&D to foster our equipment and digital product pipeline plus that was stable in Q2 compared to last quarter supported by a sound cash flow from operations and funds from the sales of Raven Engineered Films, offset partially by the payment of our annual dividend. During the quarter, the company returned over 400 million in buybacks and dividends. Share acquisitions continued till the month of July under the share buyback program announced on March 1. The Board approved the setup of an additional program for up to $300 million, within the shareholders authorization renewed in April to buy back up to 10% of our outstanding shares. In terms of inorganic growth, as Scott mentioned, at the outset of the call, we have completed the divestiture of the non-core Raven businesses. In addition, during the quarter, we acquired special enterprises, North America largest manufacturer of premium aluminum spring booms and we continued scanning for opportunities. This concludes my prepared remarks and I will now turn it back to Scott.
Scott Wine: Thanks, Oddone. Well, there are plenty of storm clouds on the horizon. We still like to set up for Ag. We expect global industry demand to remain healthy, with a supportive backdrop of low soft commodity stock levels, positive grain and oilseed prices and aging fleets. Low crop commodity prices are down but they remain volatile and mostly positive compared to the historical mean. There are two notable changes to the 2022 Ag industry demand estimate we issued in May 1. First, we have reduced our expectation for low horsepower tractors in North America due to the aforementioned weakness in the end markets finally strong couple of years. We have decreased our projection for EMEA tractor demand because of the impact of the rest of Ukraine conflict and the currency devaluation in Turkey. Our construction equipment estimates have also been updated to reflect improvement in the rest of the EMEA region, while AIPAC is now expected to be a bit worse. We're seeing some softness in North America residential while commercial construction remains strong. In Brazil election year spending is exceeding expectation, although it's somewhat offset by higher interest rates. While risks are persistent and unlikely to wane, we are confirming our '22 guidance for industrial activities. We've narrowed the bottom -- end of our range and now expect full year net sales to grow between 12% and 14%, including currency translation, which has been reset to a less favorable level. We will continue to invest to improve our business but expect to keep SG&A at or below 7.5% of net sales, one of the leanest ratios in the industry. Free cash flow for industrial activities is expected to exceed $1 billion again. R&D and CapEx will be approximately 1.4 billion combined spend for the year. Supply chain and logistics challenges remain the fulcrum of which our short-term results pivot. We managed our urgent freight costs better in the second quarter, and we're starting to see these pressures ease somewhat. There could be more relief in the second half, the raw material costs will continue to restrain profitability. The many ramifications of the war in Ukraine have had many significant impacts on our European operations, but less so on demand. We are working diligently to mitigate energy and supply chain challenges to ensure we can properly serve our dealers and customers. Pricing should be stronger in Europe in the second half, and that along with improving production should support better margins in the region. Our order books remain strong and dealer inventories are low. We intend to somewhat replenish our dealer channels over the next 12 months, but the stock levels will be well south of where they were in the last cycle. In early May, the United Auto Workers initiated a strike at our Racing, Wisconsin and Burlington, Iowa facilities. We've made a fair and equitable offer to resolve the strike and very much want to have our workers back in our plants for us and for their families. We have consistently maintained our willingness to meet and are pleased that the union is agreed to resume negotiations in mid-August. To support our dealers and customers, we implemented mitigation efforts to keep both facilities operational. We are making good progress and production continues to improve but our main goal is still to resolve this ongoing dispute as soon as possible. In the second half, we'll be launching our strategic sourcing program and two supplier conventions to be held in Milan and Nashville. These events will invite current and future suppliers to partner with us as we build a more efficient, productive and responsive supply chain over the next several years. Raven and our Precision team are making great strides and helping to drive agriculture's growth. We will highlight some of our new work next month at Farm Progress and in December, we'll be holding a tech day to showcase current and future products and services. That concludes our prepared remarks. We will now open the line for questions. Judy, please go ahead.
Operator: Thank you so much. [Operator Instructions] The first question is coming from the line of Michael Feniger from Bank of America.
Michael Feniger: I guess just on the implied second half. I look, I mean, ag price in Q1 really strong 11%? I believe I think it actually picked up in the second quarter 13%. You said it should trend well, in the second half? How should we think about that with the deceleration in the second half on the growth outlook on the year-over-year basis? How you kind of help us frame that?
Scott Wine: Well, there's a couple of factors that you need to consider. First of all, implied in that is a lower currency rate with the dollar and the euro, which will have a several hundred million dollar impact. So that brings a little bit of a down, pricing will still be double digits but slightly less, then. So that brings a little bit more. And then, we're still just, I wouldn't say hedging, but we're cautious about what we can get out of our supply chain. I mean, it is still -- I mean, I did say and I meant it, it's improving. But it's precarious. So obviously, we're being I would say prudent in understanding what we can do. But the primary factors are adjusting for a stronger dollar and slightly less pricing, but still very strong.
Michael Feniger: Okay. And then just, with pricing where it is, some of the improvement like you mentioned options, is incremental operating margins on the ag for next year, at least we see that normalized in the 20%, 25% range, I guess, how much of this pricing do you think is sticky as we enter next year, when hopefully, some of these supply constraints should be easing, and less cost pressure? Thank you.
Oddone Incisa: Well, yes, we think that the margin will be normalizing. And, of course, we have been very strong on pricing year-over-year and also to cover the cost. We still have very lean dealer inventories, there's still strong demand. So we will follow very closely what happens there. But we don't plan in giving up our margins. This is one of our key goals for our three-year plan, keeping gross margin up and increasing.
Operator: Okay. Thank you for your question. The next question comes from the line of Steven Fisher from UBS.
Steven Fisher: In your comments, you said your positioning for a recession. I'm curious what that means, in practical terms. How do you see a recession affecting your business? What actions you take to kind of prepare for that?
Scott Wine: Yes. Well, Steven, I said in the remarks that we were anticipating that but the business was also much more correlated to the ag cycle than we are recession. So we're not turning out all the lights and everything else. But we are being prudent with our hiring practices, obviously, we're still in the effort to improve our tech stack. We're still recruiting engineers as quickly as we possibly can. But we're also being managing somewhat cautiously, how we're spending our SG&A where we're making our -- we're still spending a tremendous amount on research and development. And I don't think there's any environment that's going to take us off that but we're just not going to make the discretionary spends whether it could be travel but again, mostly it's just being careful with hiring. Just overall what we spend, as we think about a more difficult environment. But, again, the setup near term and probably for the first half of '23, for the ag business is still quite good.
Steven Fisher: Okay. That makes sense. One practical question related to the stock in terms of the listing. And I think you've talked in the past about potentially taking actions to kind of move towards filing U.S. statements and shifting focus to the U.S. listing. Can you give us your latest thinking there that the stocks that we had some, perhaps extra volatility this year related to European trading? So just kind of curious what you're thinking about there now?
Scott Wine: We were still studying it. Obviously, with the divestiture or spin off of Zecco Group, we know we have a much less of a significant presence, we still have a very large presence. Remember, our revenue still splits, essentially 37/37 between the two regions, North America and in Europe. But, there's good arguments for it, and there's good arguments against it, we're going to weigh all of those and then make a decision, but no decisions of yet.
Steven Fisher: Okay. Just lastly, if I can, quick clarification, perhaps for Oddone, on the overall revenue guidance. I think, Scott, you might have said several hundred million of currency difference just kind of trying to figure out what in practical terms, this means for, what the overall volume and price is, it's embedded in the guidance for this year, were we thinking before that it was somewhere, kind of in the mid-teens, and now it's kind of closer to the low 20s area, is that how we should be thinking about what this currency and guidance change means?
Oddone Incisa: So we move in our expectation, we moved the euro-dollar from 1.10, we had last quarter to 1.05, which basically implies that we are assuming the euro-dollar staying at parity from now to year end. And this creates a translation of our European volume, in particular to be -- to come to a lower level. So we expect the headwinds are coming from FX for the second part of the year to be between 4% and 5% probably closer to the 5% to 4. As Scott say, we assume continue having double-digit pricing last year, in the second half. And the balance of it is a volume assumption, which is somehow softened by risks that we may have -- we still have in supply chain.
Steven Fisher: But still positive volume overall.
Oddone Incisa: Yes.
Operator: Thank you for your question. Then the next question is coming from the line of Kristen Owen from Oppenheimer.
Kristen Owen: I wanted to follow up on your comments about building dealer inventories modestly over the next 12 months. Just give us a sense of how much you feel like the supply chain can support in dealer inventory build and how we should think about sort of production cadence moving to the second half of the year?
Scott Wine: Yes, well, we actually had a reasonable internal debate about what timeframe to put on building dealer inventory, because it is uncertain. And I mentioned in my prepared remarks it, the supply chain is the fulcrum that manages our results. And it really, it's getting better, I hate to say it because it's so brutal. A slight improvement doesn't make it good at all. But we're still mindful and watching that. But when I meet with dealers and I have recently their biggest request is for more shipments and that's what they want from us. That's what we're trying to deliver. The third quarter probably won't make any progress with inventories, I don't think but the fourth quarter, I mean, as we continue to make more progress, and we see a little bit of easing in the supply chain, we should be able to start towards the end of the year, improving the dealer stocks a little bit and then we'll see what happens in 2023, but that still remains, getting product availability and even allocation where we are constraining it. It’s still the biggest concern from our dealer network.
Kristen Owen: And then somewhat related question, the cash flow guidance of a billion -- greater than a billion dollars in industrial activities, obviously a pretty healthy swing in the second half of the year. Can you just help us understand how much excess inventory you expect to end the year with and maybe talk about the mix of the inventory as it stands today? What sort of red tag was elevated raw materials? Just any incremental color you can provide there would be helpful? Thank you.
Oddone Incisa: Yes, I would say the majority of our inventory today is in the plants as opposed to finished goods. And that's a combination of red flag or semi-finished goods. So what we call fleet which has been built, assembled but waiting for missing components and poor components and raw material and work in process. That we expect to recover significantly out of it in the second half of the year, and that was -- what will have the main contribution to the cash flow for the second half, of course, with continued strong generation from the operating performance or from the adjusted EBIT.
Operator: Thank you for your questions. And the next question is coming from the line of David Raso from Evercore ISI.
David Raso: My questions about the order book for '23, when do you believe you will open the order book beyond 1Q ‘23? And what are the key metrics you're looking for to get comfortable to open that up? Thank you.
Scott Wine: Thanks, David. We are probably going to open that up, I would say the early part, late part of the third quarter, early part of the fourth quarter, the variables that we're watching is just, this damn inflation was supposed to be transitory is what they told us. And then, it continued to spike. We are seeing, I think a peak in inflation, I don't know that that's the case. But that's what we're watching for now. And if that's true, the pricing that we've got, you should be reasonable. But we've got to -- we can't take the risk to our P&L or to our dealers by getting this wrong. So I would -- I think by the time we get, three months from now, and then into the fourth quarter, we'll have a better view. And we'll take that timeframe, whether we open up for the rest all of '23, or through the first quarter. I mean, we're just -- we're keeping a variable view on this thing, just because it remains -- again, slightly improving, but remains very volatile.
David Raso: And the input costs do appear to be coming down. When can we expect that to hit your P&L? I'm just curious anything you have any hedges you have on or anything regarding logistics, just so we have a better sense of when we do see the order book open whatever we hear on pricing, trying to think through what your cost could be relative to that pricing.
Oddone Incisa: It takes some time, David as you can imagine to flow into the P&L. Of course, I mean, logistics, cost, freight, that will come earlier on. And then the cost of the raw materials, will take more time to come in. And actually we're not seeing yet.
David Raso: The save in the first quarter, like what's already in the backlog that will ship in the first quarter some of these orders for first quarter, could they be beneficiaries of some of these costs coming down? I mean, that is still six to nine months away. I'm just trying to get a sense of that, especially the first quarter. And then when you make the decision for beyond, I would assume within six to nine months, some of these lower input costs could flow through by early '23, is that fair?
Scott Wine: That's a fair assumption.
David Raso: And last quick question is level set. I know you're not giving the gross margin guidance, right, but can you just give us a sense of how much your gross margin target for '22 changed in the last three months?
Scott Wine: It didn't change.
Operator: Thank you for your question. The next question is coming from the line of Dillon Cumming from Morgan Stanley.
Dillon Cumming: Just wanted to check in on the European side of the portfolio. I think Scott, you mentioned that it kind of the order trends have been holding up a bit better in the context of all the geopolitical dynamics over there. Just kind curious, you could reconcile some of the deterioration we've seen in some of the sentiment indices we've seen in recent months, and maybe square that away versus what you've been seeing in your own order book?
Scott Wine: Yes, well, I think the sentiment is, I'm not even going to comment on the sentiment, because we can all read the newspaper, we know exactly what's going on. But I will tell you that because of the supply constraints, our dealer inventories in Europe are leaner than they are in other regions and the Ag sector continues to do quite well, in fact even in Ukraine, we've had been able to support them to have reasonable farm equipment usage this year. So, it is the demand side, I think I actually had this in my prepared remarks, I mean the demand side has not been as impacted at all as has the production side and the overall industrial economy. So, the Ag segment in Europe is reasonably good and then that's reflected in our order book.
Dillon Cumming: Got you. That's helpful and maybe just a longer term question, in November you guys are going to have Raven under your belt for about a year I think, just in terms of how you've been integrating that in terms of like, what you're rolling in the new model year kind of product portfolio just curious, you can kind of provide an update around what levels of uptake are around on some of the major technologies. How that integration is going more broadly and how you've kind of been integrating that portfolio into your base models?
Scott Wine: Yes, well, I would say on a I mean, I can't describe -- we're just thrilled with what that Raven team is doing for us. It was, difficult because they had operated as one business and there was a couple of divisions that probably -- not probably certainly would, are better and going to be better off with different owners and we were able to complete those transactions and that was a bit of a distraction but overall, what Parag Garg and John Preheim and that team are doing to really just inspire customer focused innovation, what Derek Neilson is really driving them to understand how can we most quickly and most effectively bring precision and autonomy capability to our farmers and growers. And I think, as I said in my remarks, we'll display a little bit of that, that farm progress you can see how we're working. We’ve got a real Tech Day coming up in early December in Arizona will be more forthright. But the Raven, the demand we're seeing for the core Raven product and one of the benefits of the integration is how much we can help them with supply chain to accelerate the output when demand for their core products, but really as we've tried to communicate, it's about getting the tech stack, right and I just can't say enough about how important the Raven team, and their ability to solve great challenges is to us helping us do that as quickly as we possibly can. So financially and strategically it's ahead of where we needed it to be, but there's a lot of work to do to capture the value for our customers that we expect.
Operator: Thank you so much Dillion, for your question. And the next question is coming from the line of Larry De Maria from William Blair.
Larry De Maria: Hey, I just wanted to get a clarification on the early audit program. Can you just give us a handle on, I know we're selling into 1Q, but there's other products and stuff in there? How did that trend from June to July? And what was that be up year-over-year? Because I don't think that corresponds to the up 5% tractor order book or maybe it does. So can you just clarify that please?
Oddone Incisa: Larry, we didn't hear you very well but I think you were talking about the order book and the trend in the orders.
Larry De Maria: I was talking about the trend in the early order program.
Oddone Incisa: Yes, the order program is doing very well. The difference to last year is that our order program is limited in time. Right, so we're not -- we don't have an open order book. But we allowed our dealers to order with allotment that will cover the production through the first quarter of next year. But in North America, but we're not extending it over yet. And that makes the growth of the order book less impressive than it has been in previous quarters. But still we have an order book which is more than three times higher than what it was pre pandemic.
Larry De Maria: Okay, that's very helpful. Thank you. And then the second question, if I may, the North America dealer consolidation is ongoing obviously you're trying to reduce some channel conflict. Where are we in the reduction of the channel conflict? And what do you -- how much of a headwind do you think that that has been without the ability -- with the inability to bundle product broadly?
Scott Wine: I don't know. We're actually encouraged by our dealer network now. I mean, it's incorrect to assume that there's a massive dealer reduction effort. What there is, is a very concerted effort to be more strategic and thoughtful about how our dealers interact between the two brands. And as I talked about in my prepared remarks we're really encouraged by what Scott Harris and Carl Lambro are doing to drive these brands to see how can we serve the communities and farmers better together as opposed to, we competed for a long time, and I think our dealer network reflected that competition. And now we're looking at how can we leverage these two great historic brands to bring more value to everybody in the -- all of the various stakeholders and we’re seeing early signs of that. There's work to do, but the work is not to take out a bunch of dealers, it's really about to make the experience that we can provide for our dealers better, and ultimately serve our respective customers. The acquisition that Titan made of Heartland Ag was a good example of how things are going to be cleaned up, that was a different distributor model than the rest of our network and now I think Titan can make that -- working closely with us, but they can make it -- our sprayer business more consistent for all of our customers and I think that's better for everyone. So you'll see us make moves like that but don't expect a 20% down or 30%, down in dealer count. That's not the strategy.
Operator: Thank you, Larry, for your questions. And the next question is coming from the line of Nicole Deblase from Deutsche Bank.
Nicole Deblase: Maybe we could start with just margin. So I guess maybe we could talk about like the puts and takes into the second half, it feels to me that price cost should be improving if you look at it on a year-on-year basis and so there is the impetus for margins to continue to grow year-on-year but any thoughts you guys have would be really helpful.
Oddone Incisa: Yes, we expect margins -- as I said, we don't see a change in our margin outlook compared to what we had before, right. We keep pricing and we keep having cost coming up incremental compared to what we had last year. So that relationship will still there -- will still be there, we still want to have pricing at least at the level of the cost increase and we are confident we can get there. Dollar amount will be higher, for sure and that's how we're working too.
Nicole Deblase: Okay, got it. Thank you. And I guess maybe Scott, could you elaborate a little bit on what you're seeing with the supply chain? I haven't heard a ton of instances of companies saying that things are getting better so far, although it's obviously been really mixed on a company-by-company basis. So is that chip? So -- would just love to hear a little bit more about what you're seeing?
Scott Wine: Well, let me be careful to clarify that. I mean, when we say getting better it is very, very modestly better but it's been so much just getting worse, consistently a slight improvement. Again, we're seeing it in some of the expedited freight costs. Again, as we get better at managing it but the overall cost come down is, we've seen some oil drop off of late, but really it's just the supply chain in general getting a little bit better. I mean this time a year ago we were -- panicked about semiconductors and we're less so now. We still have to manage it but I would say it's not dramatically better, but we're seeing a little bit of improvement and I am not saying it's tipping it's going to revert back to the mean anytime soon, but it's slightly better than it was.
Operator: Thank you for your question. And the next question is coming from the line of Tami Zakaria from JPMorgan.
Tami Zakaria: Most of my questions have actually been asked, so I have a couple of quick ones. So input prices like fuel are coming down, so can you remind us at what lag you expect this to benefit your P&L as [the in crisis] [ph] hold or go down further?
Oddone Incisa: We see input price go and stabilizing, I would say more than going down. We don't expect that to have a huge impact this year, where we expect to have some tailwinds or some improvement this year compared to last year is on some of the logistics costs and hopefully also in some of the costs in our production cost in our plant which have been to reworks and to all of the complication that we had had in recent quarters. You will see…
Tami Zakaria: Got it.
Oddone Incisa: Yes, go ahead.
Tami Zakaria: Sorry, but I was meaning like when do we expect that to more earnestly flow through like, is it more like in the back half or start early next year?
Oddone Incisa: I would say more next year than this year.
Scott Wine: And not necessarily early next year.
Tami Zakaria: Got it, okay. And so my second question is, do you have any updates on any upcoming product launches to Raven in the next 12 to 24 months, if there's any new update at all on that front?
Scott Wine: No, it's not generally our practice to talk about new product launches, although I did kind of hinted a new construction equipment product rolling out next month. But if you have a chance to get down to the Iowa and see Farm Progress, you'll see a perfect example of how our teams between Case IH and Raven can work together to bring really good innovation to market and then we'll elevate that again in December with our Tech Day. But I think Farm Progress will be a good example of just -- one type of product where we can really bring best-in-class innovation to the market.
Tami Zakaria: Got it, perfect. Thank you, looking forward to seeing you all in Iowa.
Operator: Thank you so much for your question. And the final question for today is coming from the line of François Robillard from Intermonte.
François Robillard: Most of my questions were asked, so just a couple of fireworks on the second quarter numbers. Given the market trends that were broadly negative retail market trend in the second quarter, can you just give us some more color between volume and mix in your second quarter figures and then consequentially also for your second half implicit expectations? So, just a clearer split between volume and mix. Thank you.
Scott Wine: Yes, I guess we should probably be clear, what's happening in this market is what we sell from a mix perspective is literally what we can produce. I mean, it's all, I mean I wish I could say it was about us managing mix or something else, it's just what we can get out of our factories and that, there is a lot of variabilities that I think we've talked about enough today, when that happens. Our mix has been okay, and we expect the second half, as we have a lot more actually -- third quarter as we get more combined shipments coming out, we should continue to have reasonable mix, but everything from mixed standpoint is just based on what we can get out of our factories nothing that we're strategically trying to do.
François Robillard: Okay, thank you. And as on the Sampierana addition, can you give us just a hint of the Sampierana contribution in the second quarter first half and once again second half of the year? Thank you.
Scott Wine: Yes, I don't think we're going to give you a specific number of what they're contributing. But, we've got a profitable construction business in Europe for the first time and that's certainly enhanced by what Sampierana is doing but -- and we are ramping up their capacity quite quickly. Their innovation focus is also a huge boost to us. So we're encouraged about well ahead of our financial forecasts we used to acquire the business and we continue to see a positive outlook there as we ramp up capacity capability. And again, the innovation that they're bringing to that the mini and mini-excavator market for us is quite impressive. So, all in all very, very positive what we're seeing early and we think that that light segment is important for us in Europe and just important for our business overall.
Operator: Thank you so much for your question. And the final question is coming from the line of Daniela Costa from Goldman Sachs.
Daniela Costa: Hi, good afternoon. Thank you for fitting me and I’m getting some technical trouble. But two questions, hopefully quick. The first one is regarding sort of all the risks around energy that we are seeing in Europe in particularly I guess because your products use a lot of steel and metal and energy could impact those suppliers. How are you mitigating for that? And how is sort of how significant is your production in Europe? Does it kind of match your sales? If you could talk about the risks potentially emerging from that or the lack of that? And then the second question just regarding I think in past calls, you have said that like with Raven you were 80% where you would like to be in terms of Precision Ag to match your large competitor. Can you talk about sort of M&A outlook from here, you did a few small things, I guess multiples are also coming lower, how much more extra inorganic ideally would you need to close the gaps full year? Thank you.
Scott Wine: Well, I will tell you that we are spending a lot of energy under, pardon the pun, energy, trying to understand the impact of gas availability and overall energy availability in Europe. I think we probably mentioned earlier in the year, I mean we had an almost freak-out situation with foundries when the Ukraine situation first became on the market because, foundries were shutting down, and we couldn't get some of the product out. So we took some efforts there so we've learned from that. Importantly, we have significant manufacturing presence in Europe, but none in Germany. So I would think Germany has been the hardest hit from the regions, and Italy has got some impact. But what we found, because we have a little bit of time, is that we can -- we're not impacted by Germany, which is the biggest risk, and then we can mitigate it by moving things around between factories, finding other sources and then we've got long-term contracts for some of our electricity sources. So that does help us. So overall, we're watching it closely, but I think, vis-à-vis others we have less exposure in the markets that are most impacted from that. And as far as Raven, again, I just elated with what that team is doing for us in the short-term, but it's a journey. I mean, it's not like, I mean I talk about plug and play, there's a lot of plug and play capability here but there's also just a lot of work to be done. So we've got a couple of years there. And you asked the question about whether there's going to be other acquisitions, and I think we're going to constantly look at the make by decision on how we improve that tech stack and I'm confident that there will be times where buying is going to be the better choice for some reason. So, we've got a long list of people and I think others in the industry look at it the same way and I think that's how we've all built capability over time. But the big piece of it was Raven, don't forget we've got a very good relationship with Trimble and what they do to us, for us is extremely beneficial and I think there's still more opportunity for us to leverage that partnership, as well.
Operator: Okay, everyone, thank you for your questions today. There'll be no further questions taken. So I'd like to hand it back over to your host to conclude today's conference.
Noah Weiss: Thank you very much.
Operator: Thank you very much, everyone for connecting on today's call. You may now disconnect your handsets. Host, please stay connected.